Operator: Good afternoon, and welcome to the Invinity Energy Systems plc full year results investor presentation. [Operator Instructions] The company may not be in a position to answer every question it receives in the meeting itself. However, the company can review the questions submitted today and publish responses when it's appropriate to do so. Before we begin, I'd like to submit the following poll. I'd now like to hand you to CEO, Jonathan Marren. Good afternoon to you, sir.
Jonathan Anthony Frank Marren: Many thanks, and good afternoon, everybody. Welcome to the 2024 results presentation. You will see this is dated May 2025. I think we did say when we were here about a year ago that we would look to bring forward our results from the end of June. Delighted that we've managed to do that. So we hit May, albeit just by 1 day, but significant improvement. My thanks to Adam definitely and the rest of the team for achieving that. And we'll look to continue that in the future. I'm conscious it's only a couple of months since the last trading update. And obviously, today -- understandably, today's session is anchored around those results. I'm going to hand over to Adam in a moment to go through the numbers. There's understandably some questions on where we sit from a cash position, walking through working capital, particularly in relation to LoDES. So I'll ask Adam to make sure we address that head-on. But before I do that, just a bit of sort of context on where we are and maybe where I see things. And firstly, just taking stock of where we were from a year ago, I think that's always useful. We obviously just had a successful fundraising raising GBP 54 million net. We were working very hard to get ENDURIUM, or then it was Mistral, launched. So I'd say that was the critical product we needed to advance ourselves commercially. And we were saying there were strong signals in the market, but we were still waiting for those to develop. But we were confident they were coming. Roll forward, what is now 11 months, we've launched ENDURIUM. That is absolutely critical for us. We've shipped that first product. We've shipped it to Gamesa. And really pleasingly, we have got a delighted partner in Gamesa Electric. They were delighted with the product itself and its characteristics, how it's performing. They were delighted with how we had commissioned that project, and that really does take the learnings we have from having delivered so many VS3s into the market. And we are seeing that there is now evidence in abundance that the market for batteries is there. So secondly, looking at sort of the content -- context of what we're about to go through. What I'm seeing -- what we are seeing now is that it's undeniable that batteries really are coming of age. We've been saying for a long time that if you're going to get energy security resilience, you think what happened in Spain recently, reduced reliance on natural gas and critically reduced prices to consumers, that's going to be achieved by increasing penetration of renewables onto the grid. With that, you also get the benefits of net zero, which is very important to us as an organization as well. But that is only achievable with battery storage. And that's both on the short- and long-term perspective, and that is becoming increasingly clear really on a day-by-day basis. I was recently at Intersolar, which is an exhibition in Munich, seeing our partner Siemens Gamesa. There's such an enormous amount of space set aside for batteries. There were so many companies that have an interest across the sector. And it really is staggering to see the amount of both buyers and manufacturers focusing on this area, all the ancillary services that go around this. This is becoming a very, very big industry. Matt is going to talk to you in a few moments' time about the government support programs we're seeing. The obvious one for that is the Cap and Floor regime, and that first application window excitingly is closing today. From a PR perspective, I think it was just 10 days ago, we managed to have -- we were lucky enough to have a clip on ITV News, which was really good to see that out in the mainstream media. Michael Shanks, the Energy Minister, had come up to see us with the Chief Architect for the Cap and Floor from DESNZ. But at the same time, we had a thought leadership piece in one of the Scottish national newspapers on zonal pricing. That was all in 1 day. This is the sort of PR which we might have expected once every 6 months if we were lucky in years gone past. So that was -- all came [indiscernible]. I think that just shows you the way the industry and the importance of batteries is really coming to the fore. Now a little bit on vanadium flow batteries. It's not a new technology. First launched, first found in -- 40 years ago in 1986. What has though changed demonstrably? And I'm really reassured after the last -- really in the last 12 months is there's an acceptance that technology really does work, that it's appropriate and there's a space for it. And that first bullet point top left-hand corner, I think, is one of the reasons for that. We are able to say to our customers we've dispatched broadly more than 5.5 gigawatt hours of power from our VS3 batteries. And that is a calling card. And time and time again, I have a conversation with some potential customers. You sort of say, [ well, where are ] VFBs? And you say that -- you're like, okay. And what does that mean? That means -- so one of the key questions, I think, with that is if that is the case, why are we not selling gigawatt hours of batteries now? And I think there is a very good answer to that. And I'm really pleased with what that answer is because it's not, do batteries -- do VFBs make sense? Do they work? It's where are we from a cost and cost of production perspective. And the reason that's important is that I'm firmly of the opinion that is within our control. And we're going to come on to the slide in a minute about how we are taking costs out of that. What we do know is that when we are quoting on the larger projects such as for Cap and Floor and elsewhere, that we are cost competitive. We have a road map to take where we are with ENDURIUM that platform and take the cost out. And we are quoting and we are competitive, and we know we are winning business in that. And the Frontier Power announcement we put out is really proof of that. Now look, lithium is our big competitor. I think the market and those who are looking at long duration think that there is plenty of room for all the long-duration storage businesses that have got to this stage to find a place for themselves. But the real competitor is lithium. And there's been lots of conversations about that. The price has dropped for lithium over the last 12 months. We anticipate it dropping further, and we are forecasting it dropping further. And when I say we're competitive, it's against the forecast that it will drop further. So we are [ aligned ] to that. There are plenty of places though where much of the lithium cannot compete. We're seeing tenders in New York. We're seeing a rhetoric from places such as India, where they do not want Chinese product coming on to the grid. Whether you're right or wrong, that does create extra opportunities for us. Don't lose sight -- CATL, probably our biggest competitor, they have 20,000 people in R&D. They recently raised almost $5 billion, a huge market cap, and they measure the number of patents they register almost in the sort of double digits on a per day basis. And if you look across the sort of the LDES space, what we are seeing is that the number of competitors there is beginning to thin out to those that are looking at being successful. So Eos -- we've got huge respect for Eos. I'm sure all of you have sort of looked at Eos. They've got revenue not too dissimilar to us, GBP 10 million or so in the first quarter, a bit more than us, but where we've been before. They are approaching that cost perspective by selling at a significant gross loss. We are not prepared to do that. We don't have the balance sheet to do that. I'm sure, shareholders, you wouldn't want us to do that. That does mean it is harder to compete in the shorter term. Their OpEx base, probably about 4x where we are. Again, that creates challenges, but we're still able to deliver on the R&D front. Their market cap is just shy of $1 billion when I looked earlier today. I think when you look at the size of CATL and Eos as our 2 big competitors, we have a product that competes. I am firmly of the belief that whilst it's stiff competition, and we must be aware of that, there is clearly value we can create as a business when we get that right. So maybe just before I finish and hand over to Adam, I'll finish on 3 things. That cost reduction I've talked about, why it's important. That 24% is how we have taken the cost out of ENDURIUM since that first launch. So that's really to date. It was a platform where we knew we could continue to take cost out. And hopefully, we've shown a little bit of visibility as to how we are trending against where we first thought. The opportunities are so large. Matt's going to talk about what that means. Those are transformational deals that could and we hope will come through to us. It does mean that sales cycle is slightly longer potentially, but the transformational effect of those coming through is really interesting. And then the third point on strategy. I mean I think about a short-, medium- and long-term strategy. Maybe focus on that medium term to start with. Our strategy is to get to the position where there are significant volumes of transactions coming through from the programs that we are seeing today. So first and foremost, the Cap and Floor program -- and again, Matt's going to come on to that. That enables us to have volume at the right price, which really does enable us to continue to drive that cost out. In the longer term, I see us being cost competitive against the competition in areas where a vanadium flow battery makes sense from a use perspective where we can compete without additional support from a program specifically focusing on long duration storage. And that is important because we need to know we can compete in our own right, and that is what we are challenging ourselves to do and I believe we can do. When I look at the short to medium term, we are approaching that absolutely through partners, and we have an existing partner with Everdura, but we continue to look at partners elsewhere in the world to approach some of those opportunities. And again, we're quite excited by some of the sort of conversations we are having and hopefully, more to come in due course on that front. We've got very good visibility on that pipeline in the shorter term. There will be -- we are focusing on getting through a lower number of profitable deals. That is our strategy. They have to be sold at positive product gross margin. We are all frustrated they don't come through as quickly as we would like, but I am absolutely reassured by the number and the volume that are in there and the traction that's there that they will come through. We've got the experience from VS3. It was exactly the same, it was really frustrating seeing those come through and then they did in the end. There was a much smaller pipeline of deals on those VS3s that we're currently seeing on ENDURIUM. And so that's why I have faith -- it's very hard to look at one individual one and say, yes, we'll definitely do that one. But if you look across the volume and depth of those conversations and what customers are telling us, I really do have confidence that they're going to come through. So that really, I guess, focuses on that middle bullet point, increased deal size. That's just sort of a hint as to where those average deals are going. I would anticipate, I would expect in years to come that, that number would increase significantly. So hopefully, that set the context for what we're all going to talk about now. Adam, if I may, I'll hand over to you.
Adam Howard: Good afternoon, everyone. I'm going to take you through 2 slides here. First of all, on our financial results and the P&L and a bit of a deeper dive into what's been happening there through 2024 and then a little more detail on our cash position and working capital, addressing some of the good questions that have been raised. So first and foremost, I think we have to acknowledge 2024 as a transition year from VS3 to ENDURIUM. Our revenues were down 3/4 year-on-year. And bear in mind that those are essentially VS3s that have been contracted and sold through '22-'23. And you can see how that's playing out here in the margin position. Crucially, the first revenues, they were recognized from La Plana with our partner, Gamesa in Spain. It's around about a 12-month sales cycle for ENDURIUM and VS3, and we're already starting to see some of those first orders come through. The gross loss increased from GBP 3.3 million to GBP 3.5 million. Around about GBP 3 million of that comprises the warranty costs and provisions and then GBP 1 million from the overheads for the new Motherwell facility. Those warranty costs you're seeing flow through, they relate to known issues on the S4 stack and the DC-DCs. The S4 stack has since been superseded by the S5, and those DC-DCs are being swapped out by the supplier. So those are being remedied and worked through. The gross margin loss improved year-on-year from minus 20% to minus 8%. Again, those are VS3s predominantly contracts in '22-2023. And then looking elsewhere across the P&L, we're seeing cost control or growing operations. So that 7% year-on-year increase in OpEx is predominantly driven by increase in R&D investment for ENDURIUM, whereas we're seeing some inflation increases in both our staff costs and other admin costs in order to pursue our objectives of cost-saving measures. So putting that together, there's a 20% year-on-year improvement in the EBITDA loss after adjusting for R&D, those noncash items we talked to and one-off expenses, including our redomiciliation this year from Jersey to the U.K. So as you say -- a couple of comments that have been raised on the financials since they've been released. I think there's a couple of points that haven't necessarily booked up on, which are worth emphasizing here, specifically the GBP 3 million in short-term deposits that are sitting there and other current assets. That has since matured. And so GBP 35 million total cash position. Secondly, LoDES inventory. And one of the reasons that LoDES was so important for us was that buildup of inventory towards the end of last year, and therefore, the push to get that closed out in the first quarter of this year. And then finally, the LoDES ring-fencing. So we will spend all of those ring-fenced monies on LoDES plus the CapEx for the commissioning of our Bathgate line, which will shortly take place. And then we do expect to then recover around about 50% of that through grants in order to reinvest back in the business. So walking through those numbers. We finished the year '24 at GBP 35 million of cash, including the short-term deposits. Around about GBP 5 million of that is ring-fenced, still to be spent on LoDES. We have around about GBP 20 million of net OpEx after R&D income and GBP 3 million of CapEx. A portion of that is also discretionary, and we expect to realize some gross margin through the year as well. So that takes us to the cash position you're seeing forecast by the analysts across the range of GBP 8 million to GBP 13 million at the end of the year. We're delighted that BDO, after some thorough work through our financials and our going concern and also the downside scenario, given that this -- the business a clean bill of health through to the 30th of June and the going concern statement that you see in these financials. So I'm going to pass it back across to Jonathan to take us through our cost down.
Jonathan Anthony Frank Marren: Thank you, Adam. So I think in my context, I highlighted why this is so important. And hopefully, this will give you a bit of a steer on really 2 places. So first thing to point out is that we said that when we launched ENDURIUM that we wanted to be out of the box, 30% lower than VS3. And from the prices that we've been quoting on the deals we've announced already on ENDURIUM, we are there. So that is very pleasing. The other thing, I think, we pointed out when I took over as -- the role of Chief Exec in September was that we needed to head down that cost curve very quickly from the first units that we were shipping from the facility in Vancouver. And what you see at the top there, that gray line is where we -- at that point in time where we were plotting cost coming out. So the firm line is what was directly within our 2-year cost road map. And then dotted to 2030 where we saw those projections taking us. Now that is -- just to give you a flavor for where we thought we were at that point in time with work to be done based on known projects within the cost road map. What we have managed to achieve and what I've tried to show you here is that we are doing better than we first thought last August. Last August, we said we had work to do, and we are doing that work but doing better. So that red line is where we are now forecasting where we are. So that is a greater drop off. And you'll see that, that cost when you come out to 2030 -- we think we'll have taken 70% out of the cost from that first launch. So when I talk about how we have confidence that we can compete against other technologies, both on the LDES front and on the lithium front, it's because we've got that level of confidence to be able to give you this information because we've got the work there. Now this -- this is the known knows, if I can call them that. I have challenged the team that we need to think outside of the box and try and do better because there is -- one of the things which Gamesa Electric tell us is that if you'd ask them to predict where they thought the costs were coming out of their turbine business for interests, they managed to do significantly better than they first thought. So we will not rest on our laurels and say achieving this is a significant achievement. The competition will undoubtedly continue to innovate, and we will do the same. So that shows -- when you look at the pricing there, that pricing that we are creating there for the '28-'29 is competitive with where we know the competition is quoting for Cap and Floor for interest. How are we doing that? It certainly comes with additional volume. Volume is very important. The reason that we have a commoditized modular product is so that we can do, as on a repetitive basis, take costs out of that. There is still a lot of value engineering to do and to be done. Part of that comes with developing the supply chain further as well and working with them, but also just how we put the product together. We've launched our semi-automated stack line -- we're about to launch, I should be clear, our semi-automated stack line up in Bathgate. I was up there twice recently, and it's a very, very impressive setup and [ replica ] as well. So we can significantly increase our capacity with not too much of a lead time and not too much CapEx. And that takes cost out and improves quality, hugely important there. And then finally, the other way that we have managed to do that, and I'll hand over to Matt in a minute, who will probably give you a bit more clarity on that, is as I say, we are really pleased with how that first system at La Plana is going. And we are, from that, able to increase the operating parameters. And ultimately, cost per kilowatt is a function of the numerator and the denominator. And if we can increase that denominator, that -- i.e., you get more from the system, is one of the ways of taking cost out earlier and faster than you thought. So Matt, I'll hand over to you, if I may.
Matthew Harper: Thanks, Jonathan, and thank you all for being with us this afternoon. Look, we've been thrilled with the performance of our product at La Plana, which is the first version of ENDURIUM or the first site where ENDURIUM has been installed. Not only have we've been thrilled, but the most exciting thing from our perspective is the degree to which our customers have been very, very happy with this. You'll recall that this was -- this first delivery was to our partners at Gamesa Electric. They were enormously encouraged by 3 things, the commissioning time within which we were able to get the system up and running. They were expecting it would take 6 to 8 weeks, and it was operational in 2. The degree to which we've exceeded the performance specifications within the product and the degree to which the performance of the product has indeed been as steady, if not steadier than everything that we've experienced in the field to date. This graph you see on the top left-hand side is 8 days' worth of constant charging-discharge cycling over the full depth of discharge range, and we are indeed proving that this product has that same rock-solid stability that our previous generations did. Jonathan talked on the previous page about how this ties into cost reduction. And I think I would put it slightly differently. I would say when we look at that product optimization bullet, really what we're trying to do is to do more with less. And that's what we've proven we can do here. We have exceeded the specifications for this product, so we can deliver better than the performance we expected, and therefore, we can deliver at lower cost to the same capabilities delivered on-site. As our partners at Gamesa are -- as many of you may be aware, they are looking towards the potential acquisition of their business by ABB. ABB is very, very active with their -- what they call their Battery-as-a-Service model. That's an opportunity for large commercial and industrial customers to take advantage of storage on their facilities. And especially where we've now proven we have a battery that can be installed effectively, that performs reliably and that doesn't have some of the degradation and fire risk that the competition has. We think we're going to be very -- we're going to have some really interesting discussions about how we could dovetail with similar models to that -- similar business models to that in the future. Now looking beyond that 1 project, of course, we're keen to see what is coming up. And really over the next 3 years, we've got sort of a slightly different evolving view over time. In terms of the projects that we will be delivering in 2025, we have substantially all of our projected revenue for this year covered with 4 major projects with Everdura, STS, LoDES and HITT. Those projects are all being manufactured as we speak and are on track for delivery. When we look forward to 2026, we've got a number of very, very large-scale projects that are in negotiations, some of which we've publicly disclosed already, some of which remain confidential. In the U.S., we've talked about the DOE long-duration energy storage programs where those -- where we remain -- those products remain in development. I'm sure many of you are aware that anything going on with renewables or new energy technologies in the U.S., and especially related to the DOE, have seen some not insignificant pickups over the last few months. But we are encouraged by the fact that the programs with which we are engaged are still progressing, are still going through their contractual negotiation, and we still expect to close and deliver within 2026. We're also seeing new solicitations from the California Energy Commission. We've seen -- we've been successful in delivering those projects in the past. The CEC remains very encouraged by the progress that we've been able to make, and they are pushing us as one of a small number of selected and encouraged technologies to go forward to their much larger long-duration storage solicitations from 2026 and ultimately beyond. Beyond that, we've got an active book of business evolving in Europe and the U.K., Asia with our partners in Taiwan and Korea and also, of course, in Australia, especially given Australia's interest in vanadium batteries because there is so much vanadium in the country. Looking out to 2027. Really, what we see in '27 and beyond around the world is a shift from some of these earlier long-duration storage deployments to large-scale programmatic procurement schemes that are supporting classes of technology like ours, especially high throughput and long duration proposals. And especially what we're very encouraged by is the degree to which those schemes include carve-outs for nonlithium storage. You all will be very familiar with the Cap and Floor scheme here in the U.K., where proposals were due in today, and we've been very encouraged by the amount of interest that the developer community here in the U.K. has in deploying our projects into that program. In the U.S., we see evolving programs with NYSERDA and the CEC and similar projects in Canada as well. Just to do a bit of a deeper dive into some of those larger projects around the world. As I said, the thing that is most of interest to us is the fact that all of these have some form of advantage or carve-out for nonlithium technologies. If you add up these projects around the world, I mean, the Cap and Floor project here in the U.K. is the largest one that has been announced and formally launched to date. But there are tens of gigawatt hours worth of opportunity for us that we are tracking that we are now working with some of the world's leading project developers and owner operators to put forth solicitations for. And just to do a deep dive into 2 of those programs. The first one is a program in New York that's funded by NYSERDA. It's their bulk energy storage program. They're looking to deploy about 6 gigawatt hours worth of storage, of which -- sorry, 6 gigawatts, of which about 600 megawatts is carved out for nonlithium projects. They've done that in a very interesting way where they have -- they're emphasizing nonlithium programs by giving them a longer contract for offtake, which means that they're essentially helping nonlithium technologies become part of their grid without incurring any additional costs to ratepayers. So it's something that is beneficial not only for companies like us, of course, but also beneficial for New York's electricity consumers. Similarly, in British Columbia, there has just been announced what's called the energy storage procurement -- or sorry, the energy procurement, of which storage and capacity is a significant part. This is expected to add about 600 megawatt-hours worth of storage on the grid, and they have significant interest and there are stipulations in the program about how domestically produced and locally produced technologies are going to be key to those programs. So very much of interest on our side. Now I think the thing that's most important about the position that we're in right now and one of the places that we see a lot of our customers -- sorry, not our customers, a lot of our competitors struggling is in the progress towards being able to credibly deliver these projects. And what's been so encouraging in our business over the last few months is that we continue to get phenomenal feedback from our customers about how our products are performing, about how our company is supporting them and about their view of how they expect to have our products as part of their future. When -- we talked a little bit about Gamesa and the work that they have done at their project at La Plana with our initial ENDURIUM battery. But even beyond that, we've had some very encouraging feedback from our partners at Elemental Energy in Alberta with solar-coupled battery. Our team -- the team at Everdura in Taiwan see phenomenal opportunities for our projects and our products on that island, especially because of their hesitancy to incorporate technologies on the electric grid that have their origin in Mainland China. And finally, if we look to California, of course, California has always been a standard bearer in how to deploy more and larger net- zero technologies. Our partners at Indian Energy have been enormously encouraged by the degree to which we were able to go in and meet their needs. And as we look into the next couple of years and some very, very large solicitations coming out from the California Energy Commission, we believe that Indian Energy will again stand beside us as our partner to get those projects done. And with that, I think I'll pass it over to Jonathan to reflect on what is a very sunny outlook.
Jonathan Anthony Frank Marren: Thank you, Matt. Yes, so in my session at the beginning, I think I covered all of these points. So I think I'd like to move quite quickly on to the Q&A because I know we've got a significant coming -- number coming through. But just to reiterate, for LDES, this really is a transformational period, and we're seeing this not just in the U.K. where there's obvious moves but elsewhere as well, really across some very interesting jurisdictions, some which are key markets for us, others which are markets where we intend to play with partners. So we are very much reassured by what we are seeing and delighted that we have ENDURIUM there as the product. If we had not managed to launch ENDURIUM at the back end of last year, when we did it, we would not have been having the conversations we are now in the Cap and Floor program and elsewhere, both from a product reliability characteristics and from a cost perspective. I've referenced partnerships. They will continue to play a very, very important role for us. And a large part of my role is working with partners and potential partners to try and move that forward to assist in our growth. And just to finalize, what Matt has said, some of those very large-scale projects relating to procurement schemes are those which we are very much focusing on, and we believe that will drive significant growth out to the end of this decade.
Joe Worthington: Brilliant. Okay. I think it's time to go to Q&A. I'm delighted to say we've got a lot of questions in here. So without further ado, I think -- I suggest we get started. So the first question, I think, will go to you, Jonathan. There are a number of questions going in basically pointing out today's deadline on the Cap and Floor scheme deadline. Can you elaborate on -- with that in mind, can you elaborate on plans to scale ahead of sort of potential demand that could arise from the Cap and Floor and other -- some of the other schemes that Matt actually pointed out in his slides?
Jonathan Anthony Frank Marren: Yes. Absolutely. So today is the closing deadline -- I think it close at midnight tonight for those applications. And we put out an announcement about our excitement for that scheme and also our arrangement with Frontier Power, but also talking about others. And our rhetoric has not changed from that point in time. So we are very much looking forward to how those sort of flows in the system over the next period. In terms of scaling up, we have been having conversations with potential partners, potential customers, not just on Cap and Floor, but elsewhere. And what they are reassured by -- and when we went through the funding process last year where we had a number of technical consultants coming up and looking at our manufacturing capabilities was that the ability to scale up was very much within our control. That semi-automated stack line which we've launched, which was GBP 1 million worth of investment, that is capable of being replicated in relatively short order. There is space available in the Central Belt. There's a reason why we are based there, and we're getting an awful lot of support from local government, both in the Scottish sense and the central government area as well. We've got a good supply chain. We work in best cost regions. So there's a lot, obviously, at the moment that comes from China, but we are able to make sure that, that sort of sits there at the low tech end of the process. Therefore, there's nowhere much cheaper to buy steel than China at the moment, and we get some of the tanking done there. But any other parts of the supply chain we are concerned by, we can derisk and move elsewhere. So I am confident on our ability to scale up. But yes, that's one of the reasons why we have the level of OpEx we do. We are not just looking at the current business at the moment. We have a lot of people who are making those plans such that we can demonstrate to customers we have the ability to scale and fulfill those orders.
Joe Worthington: Thanks. I'm going to actually just hijack quickly. There's a question here from [ Greg ] saying, in the past, Invinity has dismissed of a flow battery company stating, we're well ahead of them. It looks as though some zinc batteries are increasingly looking competitive. How do you feel about competing battery providers for the Cap and Floor scheme?
Jonathan Anthony Frank Marren: Well, I think there's probably a number of parts of your question, specifically at the end of it, relating to the Cap and Floor scheme, but also on a more wider basis. If we have been dismissive in the past, that would not be something that I've ever been comfortable of. And hopefully, under my leadership, you would not hear us being dismissive, if we have done that before, if I can say that. I am firm that we need to collaborate across the LDES space, whether that be with other flow battery businesses on the vanadium side, whether it might be with other chemistries. There are some great advances being made on the organic side. And whether it's actually across batteries with different chemistries such as Eos. If you look across as a parallel to what's happening in California with the California Energy Commission, they decided to support effectively 4 technologies to try and get them to the stage that each of them could have a product to be delivered at scale at the right cost. They supported Eos, they supported ESS, they supported Redflow and they supported us. And if you look, Redflow unfortunately went into administration 12-or-so months ago. ESS is clearly having its issues as well. You can see that highlighted. And you'll see really that's just us and Eos left. And frankly, for the LDES space, that's not good. I want more people to survive. We don't want to be the only player in the LDES space, and we need to collaborate. So I'm at the International Flow Battery Forum at the end of this month. The discussion is all going to be around collaboration, and I think that's really healthy for everybody. What I would say is across that Cap and Floor space, we haven't seen many other technologies in there. You have to be TRL 8, and our assessment of where a lot of other players are, certainly outside the VFB space, is they're not at that TRL 8 space. Eos obviously announced a partnership with Frontier Power alongside us. We are working with Frontier Power effectively alongside them, and we are competitive. So again, we don't want to be the only other player in that space. They've said that they will look to set up U.K. manufacturing if they're successful. Frankly, I've mentioned that to the Energy Minister. I've said, look, you need to put in place some incentives for U.K. manufacturers. And I'm not just talking our own book. There's a clear signal that if you are giving some support for locally produced content, manufacturers will come, and that is going to assist us as well. So we need more people in this space. And I'm just confident that we've got the technology and we've got the road map to compete.
Joe Worthington: Thanks. And just to clarify, TRL stands for technology readiness level, which is a sort of government standard for the maturity of your challenge. There's a number of questions here, unsurprisingly, given this is a full year results presentation, around the finances and sort of speaking about working capital and how that breaks down. Adam, I know you covered this at the top of the call. It's quite possible there's a few people that joined late. Would you mind just sort of summarizing the position on working capital just briefly?
Adam Howard: Yes, absolutely. And thanks, Joe, for the question. So first of all, we'll start off with the cash position. There's GBP 3 million sitting there in a short-term deposit in other current assets that have since matured. So our cash position at the end of the year was GBP 35 million. GBP 5 million of that is ring-fenced for LoDES. So that's the GBP 20 million net of the grant and net of what you're seeing sitting there in inventory at the end of the year. We have around GBP 20 million of net OpEx after R&D income and then around GBP 3 million in CapEx, which is largely discretionary. We do expect to receive some gross margin on the sales through '25. So that's GBP 28 million of outflows plus the gross margin, takes us to the GBP 8 million to GBP 13 million at the end of the year you're seeing forecast there by the market. That cash burn is around GBP 2 million a month. We will need to manage the OpEx and CapEx position judiciously through the 30th of June, which is what we're seeing reflected in the going concern statement there from BDO, which takes us through cash runway to 30 June.
Joe Worthington: Thanks, Adam. You mentioned LoDES. There's a couple of questions here on the LoDES project. I think -- I'm trying -- I'm sort of conflating 3 questions together here from various people. But if you could talk in terms of the strategic importance of LoDES. I mean there's one question here asking, why is it with VS3? There's another question asking about how does this drive future sales? Why does it represent a good use of funds? Jonathan or Matt, do you want to take this?
Jonathan Anthony Frank Marren: I'll maybe sort of answer some of that. The reason it's with VS3 is because the grant was specifically for us to deploy VS3 batteries and not ENDURIUM. I think if we tried to switch it, that grant wouldn't have been there. Number two is we have an inventory of VS3s, which are on the balance sheet at the end of the year. One of the reasons why we are keen to push this through is so that we can turn that inventory into cash. When we have been talking to potential competitors and across -- really across the sort of stakeholder base, being able to say we have our own project of this size, which is coupled [indiscernible], is hugely important and very, very helpful. It's also, frankly, really improving our understanding. We are selling batteries into a project and those batteries are an important part of it, but there's many other aspects that go on and it is helping us, frankly, to understand more of the sales cycle. So there's a huge number of learnings across that. Matt, anything that you wanted to add on that?
Matthew Harper: No, look, I would just reinforce, it's in big part about walking in our customers' shoes. And that is from a development perspective, from a revenue perspective, from a lifetime operational perspective and just in terms of structuring and transacting around projects like this. The more we know how it works, the better we will be able to support our customers, and there's no better way than -- to learn how it works than by doing it ourselves.
Jonathan Anthony Frank Marren: Yes. I was -- Adam and I were at the town council meeting last week where they were initially concerned by the application because they were worried about the fire risk from our batteries, which is a standard response when you see a battery project. Adam and I went to them, talking through the technology, why we were doing it, how it was looking to progress. And by the end of it, they were delighted. They want an invitation to the opening launch and discussions with -- there's various developments going on outside. And is it a possibility to create a PPA potentially from that site to our battery, so you can start to -- sort of an off-grid solution, reducing power to -- cost to the consumers, to create an [indiscernible] solution, net zero. So the learnings for us and just to see how those conversations are taking place are really exciting. It is not going to be our core business. This is -- I don't want anyone to think that we're going to continue doing this elsewhere. We simply don't need to. I think when we first looked at raising money and having it deployed here, we had not anticipated Cap and Floor coming through nearly as quickly and at such scale as we do now. And therefore, I think we just -- this is a good use of the monies, and I don't think we need to look to replicate that anywhere else.
Joe Worthington: Thank you. I'm going to go to -- there's a question here from [ Stephen ] and a question here from [ Peter ], which I'm going to sort of slightly bulk together. The first is around -- and Matt, I'll aim this at you, I think. Can you elaborate on what the most promising new customer segments are? And then go on to sort of list a couple of data centers, microgrids, grid resilience. Before you answer that, the second part of this question is there was obviously a TR1 received recently for an Indian investor in the company, and this question is asking sort of how do we look at India as a future market. So if you could look at it -- you answer it first on the perspective of the customer segment and then maybe on a sort of broader sort of geographical segment, thinking about India in particular.
Matthew Harper: Sure. Look, I would say broadly, if you were to look at that slide that I showed earlier on in this hour, the most exciting thing that's happening is that all of the world's regulators are looking at what storage is needed on the electric grid. They are realizing that it has to be ultra high-cycle long-duration technologies. And they are realizing that the current incumbent technologies are not going to fit the bill for everything that is going to be needed. That may seem like a triviality or like a sort of -- it may not seem significant for some of you who have been following our company for a while because I think we've been sharing that message with anyone who will hear it for the past several years now. But the fact that the regulators around the world have turned around and have developed programs and are launching multibillion-pound programs to address exactly that challenge is hugely significant. If we -- outside of that sort of grid space that we've been looking at pretty extensively, I think one of the things that we're very encouraged by, and Joe, you talked about this a little bit, was the degree to which large industrial sites, especially data centers, but also more conventional industries as well, are looking more and more at storage as a way of decarbonizing and driving cost out of their operations. One of the things that has been very encouraging for us as we've gotten under the hood as it were with some of the data center providers we're speaking with is we found that the load at a data center is highly variable. And so in order for a battery to serve that load appropriately, it has to be a battery that can do ultra-high cycle counts, not just 1 or 2 cycles a day, but cycling almost continuously over a 24-hour period to be able to regulate the energy flowing into one of those data centers. That's a duty cycle where we are ideally suited. And especially when you layer on some of the additional benefits of our batteries like the nonflammability, it means that it is a technology that is very, very well suited for being close coupled with those large data centers as they get built out. Finally, Joe, you mentioned new market segments, and we talked about India as an example. Look, as we've always said, we do not have ambitions to be a global seller of end-use products to end customers. It's our view that the fastest way for us to scale our business is to work through really talented, really capable partners in individual regions. That's why we signed our agreement with Everdura in Taiwan. And nothing to announce here today, obviously, but we are actively looking at what other partners could be helpful to us in other parts of the world, including, of course, the Indian subcontinent.
Joe Worthington: Thanks, Matt. There's a question here from [ Gareth ] around partners. So Invinity has built an impressive network of partners. As they mature, do you see potential for certain key partners to take equity positions in the business that align long-term interest and derisk our ambitions for global growth? Jonathan, do you want to take that one? You're on mute as well.
Jonathan Anthony Frank Marren: Apologies. Matt has just talked about the significance and importance of partners. And I will reiterate again, I want us to push for more partnerships. Listen, there is no better way of aligning interests than if there is some sort of equity ownership stake. So it certainly happened when we signed a deal with Everdura. Everbrite made a small investment at that stage. We are certainly alive and welcome any such possibilities with any future partners. That's not to say that would happen or must happen, but certainly wouldn't rule it out.
Joe Worthington: Thanks, Jonathan. There's a couple of questions here from multiple people asking around the sort of tariff situation and how we're sort of managing that. This question is asking about how the Canada-U.S. situation is, how our Chinese supply chain is affected and also how -- the sort of perhaps the benefit being in the U.K. and our plans to move into the U.S. Have conflated about 5 questions there. But can you talk in sort of general about how we're sort of managing, I guess, some of the geopolitical things that are going on and especially concerning sort of the U.S. and moving stuff in and out?
Jonathan Anthony Frank Marren: Yes. I mean I think the answer is we are trying not to be too reactive because things are changing rapidly. And that in itself is the challenge is that it's very hard to come up with a plan when there is a risk that everything could change on a 6 months' -- in short order. We are fortunate that we have capability across the globe. Obviously, we've got manufacturing presence here. We've got manufacturing presence in North America in Vancouver. Obviously, we can fulfill directly from China, and we've got a partner who is working to spin up in Taiwan. So that creates optionality. At the moment, we seem to have negotiated as benign a tariff regime as anyone else from a U.S. perspective from the U.K. So it is feasible that we can fulfill into the U.K. -- sorry, into the U.S. from the U.K. But it has always been within our plans to start to produce in the U.S. So that remains the case. And we are not going to commit capital to the ground to do that up until we've got the projects in place. So the Department of Energy awards, which we announced a while ago, are still there and still very much live, and there are other projects in the U.S. as well. So I'm hopeful that we will be able to drag some of those through and start to set up capability in the U.S. But also, there's other jurisdictions we are looking at as well with partners that could potentially come into that mix.
Joe Worthington: Thank you. Actually, on the subject of partners, there's a question here asking around -- about STS Group, so obviously, our Hungarian partner, saying it's good to see repeat business. Is our relationship with STS Group something that we'd like to model for future partnerships? Matt?
Matthew Harper: Look, absolutely. And I think if we look around the world, there are a number of companies already where we've had those kinds of partnerships. Certainly, STS is one, but Indian Energy and Everdura would be other ones that I would point to. The easiest way to build our book of business is to work through partners who have already installed our products. And almost -- I'm trying to think of an example. But I would say the vast majority, if not all of the companies that we've delivered to already, we are currently exploring with them how we would turn around and go and build the next bigger projects because almost universally, especially our customers who are in the grid-scale storage space, the grid-scale renewable space, they are looking to continue to build their book of business, as we are ours. For them to go and deploy known product in an own fashion using a known technology is something that is very much of interest to them.
Joe Worthington: Thanks, Matt. And I think sort of sticking with you, please. There's a couple of questions, specifically one from [ Richard ] here, just asking around sort of -- for those a bit new to the story, what are the 1 or 2 sort of key competitive differentiators that we have that makes -- allows us to win business? As your positioned in the commercial team, you're probably the best placed to answer this.
Matthew Harper: Yes, for sure. Look, I would -- if there were 2 things I would say, it is durability. This is a technology that can be deployed alongside wind or solar projects and can be relied upon to deliver the regulation of those projects over their 30-year life. That is not the capability that lithium-ion batteries can offer. Second of all, the degree of throughput that we are able to put through one of those batteries on a day or a week or a month is totally unlimited. So a few minutes ago, we were talking about how data centers have a highly stochastic load profile. For us to be able to regulate that load 24 hours a day and do so in a way that keeps our customers' bills -- electricity bills as low as possible is not something that the lithium-ion batteries do well. They tend to experience very much accelerated aging or capacity degradation when you run them continuously like that, when you run them in highly variable duty cycles like that. And so that combination of lifetime and throughput are probably the #1 reason why people are looking at buying our batteries over the other things on the market.
Joe Worthington: Thanks. A question from [ Paul ] asking specifically around some of the criteria under the Cap and Floor mechanism. And I might put this to Jonathan considering the people he met last couple of weeks. Is there any specific benefit to U.K. manufacturing under the LDES Cap and Floor evaluation criteria?
Jonathan Anthony Frank Marren: Thanks, Joe. And [ Paul ], thank you for asking that question because this is probably one of the -- my key points at the moment. The answer is possibly. And the reason I say possibly is because whilst there was an awful lot of documentation around Cap and Floor, it hasn't gone into any specific detail on this point. We are told that there will be. We're told that it is certainly something they want to push forward, but there isn't a huge level of detail. So I'm talking to anybody that will listen, from Michael Shanks to DESNZ to Ofgem to National Wealth Fund, shareholder to GB Energy, to anyone else to say, look, within the wind regime, there was the CfD regime there. There was a financial incentive for local content. And there will be a huge lost opportunity if that isn't replicated in the U.K. I think when you look at some of what's within how Cap and Floor has been put together, there must have been some uncertainty as to the level of interest and the ability for manufacturers to build up capacity. And we are the only U.K. battery manufacturer. And therefore, it's difficult to just support one. I'm pleased that -- I'm really pleased that Eos said that they would look -- potentially look to set up manufacturing here. And we have been -- and I said very specifically too to Minister Shanks, if you provide an incentive, we will build extra capacity here and jobs going into the hundreds. And we have the MP for Bathgate with us whose eyes lit up at that thought. And Minister Shanks is actually the MP in the area next door. So yes, there is a real incentive. And I said, look, you've got to bring together what we talk about that just transition and the industrial strategy to be very specific as to sort of how manufacturing businesses such as ours will react because the alternative is our clients will say, we need the absolute low cost. There's no benefit from U.K. manufacturing. Every other battery arrives on the containership from China, deliver 1 from China. We can do it. It's a little bit less -- it's not a significantly greater cost in the U.K. The benefits to the U.K. will significantly outweigh what would be -- doesn't need to be a significant incentive. And it's within our gift to do that. So I am pushing anyone that will listen to hopefully give us an advantage. But if not, we have the ability to fulfill from elsewhere, and I really hope we don't have to do that because we've got the chance as a U.K. of creating something really exciting here.
Joe Worthington: Thanks, Jonathan. I think we all agree with that. Just -- I'm just going to sort of slightly carry on from that point. There's a question in from [ Peter ] asking around the -- asking if there's any risk of price turmoil caused by product dumping, so triggered by sort of the stuff coming in from China and dropping [indiscernible]. Is this something -- I know you talked about sort of lithium ion prices at the -- when you opened the call. Is this something that we're still looking at sort of having to deal with in the future? And how does that sort of link into our cost competitiveness and the sort of product cost down road map we've got?
Jonathan Anthony Frank Marren: Matt, do you want to take that?
Matthew Harper: Yes, happy to. I mean, look, we could -- usually, when you talk about dumping, it's where there is an equivalent product that's being manufactured in-country and where 1 company -- 1 country is providing that product at a below market -- or below cost. We don't see direct equivalents where there are no lithium-ion batteries being manufactured in the U.K. So I don't know if you did necessarily call it dumping. What we have absolutely seen is that in terms of getting lithium ion costs down, we've seen some anticompetitive behavior coming out of China and using that in competitive advantage to try and squeeze out all other forms of storage, not just ours. So it's not just a question of trying to replace something with a cheaper version of that same thing. It's trying to use ultra low manufacturing costs supported by, let's call it, nonmarket incentives to basically skew the entire movement of the industry in a single direction. To the degree that we -- I think this is why we've seen all of these solicitations that I was talking about earlier have carve-outs for nonlithium storage because if you are going to make the case that dumping is happening, you want to have a domestic industry that's manufacturing goods at scale to be able to make that comparison. When we -- or if, I guess, to not say anything too forward-looking. If we are able to spin up our manufacturing at the scale that we intend under programs like Cap and Floor or some of the programs in North America, we will have that proof in hand. And I think that, that's when a more comprehensive case for dumping and potentially antidumping legislation will be available to us.
Adam Howard: Just to add to that, I mean, there's been broadly 2 phases of storage. The first phase has been about short, sharp bursts energy for ancillary services. And lithium did that very well, but that market became swamped quite quickly, which is why those assets became less profitable. The next stage is really about assets that last a long time and that can work much harder. And so that's why you see in Hungary in [indiscernible], there's a real benefit there to long-dated assets, which manage their state of charge better. In the U.K., there's a lot of benefit to assets that will last 25 years and not degrade. In [indiscernible] in Italy, there's a degradation limit. They're really looking for different features that, that first generation couldn't necessarily provide in the same way. And that's where we're looking to position now on top of what's becoming quite important issues around safety and fire and also security in terms of the access to critical grid infrastructure. So there's a couple of important differentiators to add to that beyond the cost piece that you're seeing from China.
Joe Worthington: And noting we're almost at time, I might just do one last question, which Jonathan, I'll point this to you and I'll let you answer that and maybe give us some closing comments. So can you explain the current market disconnect that sees the company share price valuing Invinity at GBP 70 million, close to net cash and a fraction of the potential value of even 1 or 2 large LDES projects. I can sense the frustration in that question, but I think it's one we will share. I'll let you answer.
Jonathan Anthony Frank Marren: Yes. I share that frustration as well. My understanding of the way U.K. markets at the moment is that this isn't an issue just for us. And very specifically, what you are seeing is fund managers who have -- who are running money are seeing significant outflows, and they are effectively for sellers of companies that are relatively illiquid. And so what happens is on any amount of buying interest or news flow, you're creating a trading opportunity at that share price. And so what you're not getting is any positive movements up from that sort of activity that would ordinarily drive that up. And so we've seen that with some of the -- our shareholders who we've got good relationships with, who are supportive, who've just had to find cash from someone to pay for those outflows. So in the very short term, that's fundamentally what is driving share price performance across the U.K. market, particularly in the U.K. small cap market. And there is talk about inflows coming in for various reasons. And hopefully, that will start to sort of address some of that balance because it is very hard to explain on a practical basis the valuation differences between us and others. But once we do start delivering, I'm sure that will resolve itself. It's just really quite frustrating to see in the short term. But yes, I think I certainly -- I share that, and we will do all we can to resolve it as we can do.
Joe Worthington: Thanks. I think we're going to leave it there. So Jonathan, I'll hand over to you to wrap up.
Jonathan Anthony Frank Marren: Okay. Thank you to all of those who've attended today. Thank you also for your patience. Your concerns on where we are from a commercial perspective, we are from a working capital perspective are shared by the wider Board. And we have those discussions on a regular basis. And be reassured that we are putting our shareholders to the wheel to make sure that we address those judiciously and deliver on the opportunity for this business, which we think is very significant. So thank you again, and I shall say my goodbyes. Until next time.
Operator: That's great. Thank you all for updating investors today. Could I please ask investors not to close the session? As you know, we automatically redirect it to provide your feedback in order that the management team can better understand your views and expectations. On behalf of the management team of Invinity Energy Systems plc, we'd like to thank you for attending today's presentation, and good afternoon to you all.